Operator: Good afternoon, ladies and gentlemen, and welcome to LiveRamp's fiscal Third Quarter 2022 Earnings Conference Call. Your attendee lines will be muted during today's conference. After the speaker's remarks, we will have a question-and-answer session. [Operator instructions]. As a reminder, today's call is being recorded. Now I would like to turn the call over to Senior Vice President of Finance and Investor Relations, Lauren Dillard, Lauren?
Lauren Dillard: Thank you, operator. Good afternoon. Welcome. Thank you for joining us to discuss our fiscal 2022 third quarter results. With me today are Scott Howe, our CEO and Warren Jenson, President and CFO. Today's press release and this call may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially. For detailed description of these risks, please read the Risk Factors section of our public filings and the press release. A copy of our press release and financial schedules, including any reconciliation to non-GAAP financial measures is available at liveramp.com. Also during the call today, we will be referring to the slide deck posted on our website. At this time, I'll turn the call over to Scott.
Scott Howe: Thank you, Lauren. And thanks to all of you for joining us today. We delivered another great quarter highlighted by an acceleration in ARR growth, strong enterprise momentum and continued operating efficiency. The market trends we discussed last quarter, continue to play out and our results in Q3 are strong validation of the critical value we deliver to our customers. I'll begin today by sharing some highlights from the quarter and then discuss the strength of our position going forward. Third quarter performance, Q3 was another strong quarter and we again exceeded our guidance across all metrics. Total revenue grew 17% and subscription revenue was up 19%. Normalizing for the wholesale contraction, total revenue grew 26% and subscription revenue was up 30%. Exiting ARR was up 26% excluding wholesale. Our land and expand selling motion continues to underpin our top line progress. In the quarter, we added 20 net new logos and I remain impressed with the size and caliber of the customers we are adding to our roster. Notably, we are seeing particular strength in our large enterprise customer segment as a result of increased Safe Haven adoption. Our 500,000 to $1 million customer count was up more than 30% and our $1 million plus customer count grew to 86, an increase of 30% compared to prior year. Safe Haven also continues to be a big driver of account expand. Given the breadth of used cases enabled by the platform, Safe Haven customers have higher ACVs and upgrade at higher price points. They currently account for roughly 20% of ARR up from 12% a year ago. As we continue to upgrade our customer base to Safe Haven, our enterprise platform, we expect the average length and size of our contracts to continue to increase and churn and contraction to remain lower than what we have typically seen. Our subscription net retention in the quarter was 110% or 120% normalized for wholesale. Beneath the top line, our gross margin expanded to 77% and we remain profitable with operating margin again in the double digits. This performance is a reflection of the leverage in our model and demonstrates our continued ability to drive profitable growth at scale. Strategic position, this time of year often brings with it reflection and as a reflect on our progress so far in FY '22 across almost any dimension, I believe our position continues to grow stronger. Specifically, I would highlight two themes that give us great confidence for the future. First as the world around us evolves, our importance to the ecosystem is increasing. Second, the investments we've made over the past several years are starting to pay off and our opportunity is only growing larger. First, our importance to the ecosystem is increasing. LiveRamp's role in the marketplace has never been more important. The global pandemic has significantly accelerated digital transformation timelines and forced organizations to rethink how they engage their customers. At the same time, consumer behavior and expectations have shifted and the days of one to many engagement are fading quickly. Personalization with privacy at its core is going to drive future business growth and brands that can deliver on this expectation will be the new winners in the digital economy. Critical to this imperative is a strong first party data strategy and while some brands have been able to gain a competitive edge from their investments in first party data, most still have not. According to the Boston Consulting Group, only about 30% of companies are creating a single customer view across channels. And just 1% to 2% are using data to deliver a full cross channel experience for their customers. With the rise of first party data, LiveRamp's platform has become an essential buy for sophisticated companies. This mega trend has been a key driver of our recent success and the runway here is long. Further, when customers and partners are faced with complexity, whether it be regulatory or ecosystem related, what we do becomes even more important. GDPR spurred the development of Safe Haven. CCPA drove a six quarter plus period of elevated quarterly bookings and recent changes to the identity landscape have significantly deepened our strategic and competitive advantage. For example, cookie deprecation drove our development of ATS and gave the industry a much better technology than what it is replacing. It has also opened up new markets. Internationally. ATS is the only scaled solution in the market today. It was architected to meet the more exacting requirements of GDPR. And again is the only solution available to multinational companies that operate across the world. Today over 500 publishers representing more than 11,000 deployed domains have integrated ATS worldwide, including Microsoft, Cafe Media and Leaf Group. I'm very excited to share that Amazon publisher services has now joined this prestigious group. So what does this mean? It's a big deal. Tens of thousands of publishers who use Amazon can now leverage ATS to connect their authenticated inventory to global advertiser demand. Obviously this meaningfully extends our global reach. Our identity momentum continues to be a strategic differentiator and key driver of recent wins. For example, in the quarter, we signed a new deal with a major multinational transportation and logistics company that is transforming its first party data strategy. They selected LiveRamp in part because of our leadership with ATS. This enterprise is leveraging LiveRamp to integrate its first party data with different advertising tools, display, social, search, as well as customer support and eCommerce enablement applications. Their vision is to power the entire customer experience with data and we are a key part in and helping them achieve this. This is a great example of where we are going. Advertising becomes a first step to a much broader array of data driven used cases. Second, the investments we have been making over the past several years are translating into real results and our market opportunity is only growing larger. The growing need for first party data and the new use cases we have introduced over the last few years are fueling the growth of our enterprise platform and opening up entirely new markets for us. In less than two years Safe Haven customers represent more than 20% of our ARR and generate more than two times higher ARR in non-Safe Haven customers and we believe we have the opportunity to upgrade our entire customer base to this enterprise platform over time. Safe Haven has also opened up entirely new addressable markets for LiveRamp with retail and package goods being the most notable over the past year. In an effort to out Amazon, Amazon retail networks took off in 2021. Retail media spend is poised to grow over 30% this year to $41 billion while retail media is but one data collaboration use case enabled by our platform. It has been a big catalyst of our recent growth in this space. For safe collaboration, it is critical retailers and their partners leverage a neutral infrastructure and technology that protects their data, restricts its movement and governs access. To date, we serve more than 60% of Big Box retail in the US and in the third quarter, I am excited to share that we added Walmart and JD.com as Safe Haven customers. Our success is not limited to retail and we are seeing emerging demand in industries like healthcare and financial service that regularly manage highly sensitive data. For example, in the quarter, we signed a seven-figure expansion deal with a major financial services provider who is standing up a joint solution with a top health insurer. These organizations are leveraging our platform to understand the overlap of their respective customer basis, build new audience models, better engage existing in prospective members and measure the effectiveness of their co-marketing efforts across all touch points. These are two organizations that take data privacy and security very seriously, and they selected LiveRamp because of our leadership in privacy, as well as our best in class identity and collaboration tools. A recent question we've received from many of you is how Safe Haven differs from other clean room tech out there? Paraphrasing what one of our major financial services clients recently told us, there are other clean rooms out there, but we would be forced to work with a separate identity provider. With LiveRamp, we get the gold standard data privacy, identity and collaboration. We're succeeding across industries and we also intend to succeed across geographies. International produced record bookings in Q3 and the global reach of Safe Haven combined with ATS has driven an acceleration in global deals. For example, in Q3, we signed a six figure new deal with a major multinational hospitality group, across five global markets. This organization selected LiveRamp to help better leverage and integrate its first party loyalty data within its media buying platforms, display, search and social. They intend to win back loyal customers ahead of what they believe will be a rebound year for travel. And another example, last quarter, we also closed a large expansion deal with a multinational B2B technology company that spans five international markets. These aren't one-offs. On an earnings call earlier this fiscally year Diego, our Chief Commercial Officer shared a goal of 20 global deals in FY '22. Today, we are at more than 30 with additional opportunities in Q4, new used cases and capabilities, industry expansion, global scope, our opportunity is growing. With that, thank you again for joining us today and a special thanks to our exceptional customers, partners and to all LiveRampers across the globe for their ongoing hard work and support. Fueled by them, we delivered another strong quarter in Q3 and have our sites set on a strong finish to FY '22. With that, I will now turn the call over to Warren.
Warren Jenson: Thanks Scott and good afternoon, everyone. As you listen to my remarks, hopefully you will hear three themes emerge. First durability and consistency, amidst the sea of industry change, there is one constant and that's that we have delivered. Next, we are moving from application to enterprise and playing with competitive advantage. And finally, our enterprise platform Safe Haven is showing up in our numbers in a big way and is opening up entirely new markets for LiveRamp. Q3 highlights, please turn to Slide Four. First, perform, we posted another solid quarter. Revenue of $141 million was up 17%, subscription revenue up 19% while ARR increased 16%. Our net new customer count increased by 20% this quarter and our brand average ACV was up up 16%. Our $1 million customer count is now 86% up six sequentially and up 30% year over year. Net retention was 110 and platform net retention 109, driven by an acceleration in Safe Haven adoption. CRPO was up 25% and marketplace was up 12% in line with our expectations. As expected, our results continue to be negatively impacted by wholesale contraction as shown on Slide 22. We continue to expect this impact to be $30 million for the year and it was $8 million for the order. Excluding this, total revenue increased 26% and international of 29%. Subscription revenue was up 30% and ARR of 28% and net retention would've been 120% and platform net retention 117%. In short, while we don't discount the impact of wholesale contraction, our numbers remain solid. Operationally, we again demonstrated leverage. Gross margin was 77% up 330 basis points. This was our seventh consecutive quarter of profitability. Our operating margin was 10% and EBITDA 14% and most importantly, operating cashflow was $25 million and year to date positive $19 million. Lastly, we repurchased $5 million of stock in Q3. In addition, we have taken advantage of recent market conditions and repurchased an incremental $9 million so far in Q4. Year to date, we have repurchased approximately $58 million. Next our trended performance. Please turn to Slide Five. On this slide, we have presented a set of trended metrics. All comparisons are done on a trailing 12 month basis. Since LiveRamp emerged as a public company, amidst the sea of industry change, there is one constant. We have delivered. We've delivered growth, significant expansion of our million dollar customer count, gross margin expansion, incredible EBITDA growth and meaningful capital return to our share owners. Again, while we, by no means claim perfection, one thing is for certain. We have delivered on our commitments through thick and thin. That's durability and consistency. From application to enterprise, a look at Safe Haven, our enterprise platform. I said this on our last call, but it bears repeating. Our opportunity just keeps getting bigger. The market is embracing our platform. Today, I'd like to highlight three things. First, why we are winning and what's our competitive advantage? Next, international is a growth lever and finally highlight the global adoption of Safe Haven as our enterprise platform. As I said, it's now showing up in our numbers big time. So why are we winning? What's our competitive advantage? Please turn to slow. Here's what makes our Safe Haven platform important, unique and enterprise grade. When it seems there are countless clean room technologies, the answer is simple. Our Safe Haven platform brings together things others can't, or they are just learning about. Neutrality, we don't buy or sell media. We are cross cloud and enable our Safe Haven clients to collaborate with anyone regardless of their data infrastructure. Privacy, we are the leader in global privacy and privacy enhancing technology. The sophistication and importance of our Data Fleets acquisition cannot be overstated. Identity federation and activation. Our approach in the scale of our integrations are hallmark of LiveRamp. Next, future proof, with ATS, we are helping global brands, future proof, their approach to identity and allowing them to do this consistently across all geographies and finally scale. We are setting the pace with permission based collaboration technology. Remember we created the category and have been building and testing our Safe Haven platform for more five years. So what does this mean to a brand? Please turn to Slide 17. These are but a few of the use cases, our platform is enabling for a typical retailer. Safe Haven is not a single application, rather a real enterprise offering that provides our clients seamless data connectivity. It creates common identity across their internal data sets and further leverages identity to then connect their data to their advertising, marketing and customer service applications. And finally, it provides a platform for collaboration with their partner ecosystem. This is why we are winning and why LiveRamp Safe Haven is becoming essential data infrastructure. No one can do what we can do. Safe Haven and international, the new growth lever is taking shape. Our Safe Haven platform coupled with ATS has opened the world to LiveRamp. Let me share an example of a recent win jd.com. Please turn to Slide 18. Jd.Com is the second largest e-commerce platform in the world and is now using our Safe Haven platform to collaborate with their CPG partners. Our solution will be hosted on the JD cloud and available through their marketplace offering, again evidencing our multi-cloud capability. Jd.Com will be using ATS and Ramp ID to make this possible. Like with other international brands, including Carrefour, boots, orange, indeed.com, Unilever, P&G, Kelloggs and our other Safe Haven customers, this opens up a world of possibilities for jd.com. Using the JD cloud platform, leading global CPGs can leverage their first party data on JD, keep it secure and private using Ramp I'd, link on and online activities and access a Safe Haven environment for data collaboration. Internationally, this is now showing up in our numbers. Safe Haven now represents over 50% of our international ARR. Our international ARR is up 17% this quarter, 35% ex-wholesale and international bookings on a trailing 12 month basis are up close to a 100%. In summary, international is fast becoming an important long term growth lever for LiveRamp. Global Safe Haven adoption. Next, Safe Haven adoption is not just showing up internationally, but also in our overall numbers too. Please turn to Slide 19. In a very short period, Safe Haven is working its way into our installed base. It's the data enablement platform of the future. And as Scott mentioned, we're thrilled to welcome Walmart as a Safe Haven customer. Consider the following, Safe Haven now represents approximately 20% of our ARR. Our average customer ARR is over 1 million and now in the US, we have over 60% share of big box retail. This is particularly important given the explosion in retail media and perhaps most importantly, we are benefiting from a strong global network effect. Again, no one can do what we can do. We are playing competitive advantage and we are enterprise grade. Now on to guidance. Please turn to Slide 13 and 14. For the full year, we are raising our guidance. We now expect revenue of approximately $526 million or roughly 19% growth and non-GAAP operating income of approximately $41 million. For Q4, this would imply revenue of approximately $139 million a non-GAAP operating income of roughly $2 million. A few other callouts for Q4. Subscription net retention to be roughly 106, give or take. The sequential decline is being driven by an expected lower relative contribution from usage based revenue. In Q4, we expect wholesale contraction to impact this metric by roughly eight points. Gross margin to be roughly 75%. And finally, as you model Q4, the sequential increase in OpEx is largely being driven by one time seasonal items. Now let me conclude with a couple final thoughts. First, make no mistake, the trends are clear. Amidst a ton of industry change over the last several years, LiveRamp has delivered and finally, this was another powerful quarter. Amazon now joins Microsoft and 500 other publishers using ATS. Walmart and jd.com are now safe Haven customers. In the exploding world, the retail media networks and data collaboration, our Safe Haven enterprise platform is the global standard. On behalf of all my LiveRamp colleagues, thanks to our customers and to you, our share owners. Operator, we will now open the call to questions.
Operator: [Operator instructions] And our first question is going to come from the line of Brian Fitzgerald with Wells Fargo.
Brian Fitzgerald: Thanks guys. Congrats on good quarter. As some of the Wall Gardens have experienced declining addressability due to Apples, ATT, we'd imagine your customers are seeing a corresponding decline in match rates in those Wall Garden environments. Can you correct us super wrong at that point? And then assuming that's the case and assuming match rates are going down, are you seeing any customers showing sensitivity to that in terms of saying hey, we don't want to pay to light up this segment in Facebook or Instagram given what the match rates are or, hey, we continue to do some benefit from addressability that we still have, but we don't wanna pay the same amount given the decline in the match rates and maybe last point, is that forcing them into other environments outside of the Wall Garden where they can't match better. Thanks.
Scott Howe: Yeah, there's a lot to unpack in that question Brian, and this is Scott. What I would tell you on your second question of, are we seeing anybody pull back, spend that, the answer to that is an emphatic, no. In fact, what we're seeing is that addressability matters now more than ever, and dollars will flow to destinations that facilitate addressability. Personalization with privacy at the core is the key to the future. We support, literally hundreds of destinations and if we really drilled into them, I'm sure we would see underlying mix shifts and be able to tell you who the winners and who the losers were, but that's not something we're going to do. Rather in aggregate, I would tell you, we're simply not seeing any notable aggregate trends other than a constant increase in volume as more and more media becomes addressable. And you can see that in our usage rates they've remained remarkably consistent over time, which coupled with the macro trend of, everything becoming addressable gives me a lot of confidence that despite industry winners or losers, our strategy of focusing on neutral addressability is a winner.
Brian Fitzgerald: Got it. And, maybe I have one quick follow on if I could just on the 20% ARR from Safe Haven, that's an impressive number to us. Seem to happen pretty quickly as well. When you think of the array of growth opportunities in front of you, how big can Safe Haven be as a percentage of either ARR or total revenue, maybe within three year's time?
Warren Jenson: That's a great question again, Brian. This is Warren. We're not going to put a stake in the ground today, but we would tell you, there is no reason that that Safe Haven is applicable to our entire customer base. So it is not simply limited to retail and CPG and others. We're already starting to see penetration in other industries and again, looking at our entire customer base, it has a global applicability.
Brian Fitzgerald: Got it. Yeah. Thanks Scott. Thanks Warren. Oh, sorry. Go ahead.
Operator: And our next question is going to come from the line of Shyam Patil with Susquehanna.
Shyam Patil: Hey guys congrats on the quarter and the outlook, I had a couple of questions. On Safe Haven, as you guys talked about the call, you guys are seeing, very impressive momentum. Can you talk a little bit more about the significance of some of the some of the deals you guys have won, JD, the Walmart relationship, 60% share in big box retail, in relation to kind of how you kind of called it, the explosion of retail media networks. And then second question, we've gotten this a lot from investors hoping you just address it on Google topics, can you just talk about how this change impacts you guys and, how you're seeing conversations evolve with clients as that was announced. Thank you.
Warren Jenson: Great. Well, thank you. Let, me go ahead and take the first part and I know Scott will weigh into the second. Let me start with the trend toward retail media and retail media networks. Obviously, this is explosive. This is what a $30 billion to $40 billion market today and growing. Well, if you ask yourself, well, what's at the center of this explosion? Well, it's retail data and who is the global gold standard for managing that retail data? It's LiveRamp the Safe Haven. So we would in short say that we are at the epicenter of a massive trend because it all starts with retail data. Now, if you extend that, the big deal is that's the center of the flywheel. So retail extends to CPG penetration, retail and CPG penetration extends to TV and then if you extend it further, retail plus CPG, plus ATS, means this is not a regional opportunity, but a global opportunity. So in short, you see that in our numbers, whether it's lunch, whether it's customers in China, whether it's customers in Europe, in Australia, the US 60% big box retail share in the US, this just puts us at this of a massive global trend.
Scott Howe: And Shyam, to your second question about Google Topics, you might be surprised. we really haven't had a lot of client conversations. Rather what our clients absolutely know to be true and they've seen it in their numbers is that addressability is king. You've heard us through some of our ATS case studies show that, ATS adopters are getting 50% or more lift in their ROI vis-à-vis cookies, which are also addressable. relative to un-targetable un-addressable inventory, the lift is even far greater. So advertisers first and foremost if they are building their own first party CRM file, which most sophisticated advertisers are, are looking for ways to make their spend even more addressable. Publishers on the other hand, super interested in contextual advertising options, because they recognize not every member of their audience is ever going to be addressable. And so to the extent that new ways to target contextually emerge that can generate even incremental lift, that's gonna be interesting to them. But again, it's just not a conversation that we've feeled a lot of questions about on either the advertiser or the publisher's side yet.
Shyam Patil: Great. Thank you guys.
Operator: And our next question is going to come from the line of Stan Zlotsky with Morgan Stanley.
Stan Zlotsky: Perfect. Thank you so much guys. Hey and congratulations on really nice results here. Just staying with the Safe Haven discussion, with somebody the size of and heft of Walmart joining, what does that do as far as referenceability and kind of you're showing the opportunity for others from a product like Safe Haven, does it start up some kind of almost like an ecosystem flywheel effect to get other entities to join the platform and then have a quick follow up?
Scott Howe: A short answer is yes, but I'd ask everybody to kind of back up a little bit is this is not our only reference client. We have 60% big box share in the US. So we have, major retailers, well beyond Walmart that are using our Safe Haven platform. The second thing that's important to note is that we're global. So it's not simply Walmart or another U.S retailer. It's also somebody like car four or JD.com in China or our launch customers in Australia as an example. So what that does is it gives us a global presence, which is exactly what every CPG wants. So all of the major CPGs probably operate in 80, 90, a hundred different countries in the world, and they want to do things the same way with every single retailer in every single market using a common standard in that ATS. So the short answer is we are well down the path to reference-ability with many customers. Two, it is absolutely a flywheel. And third I'll repeat something that I said in my prepared remarks is we are playing with competitive advantage. all the things that live amp has done over the last 10 years have prepared us for today; Neutrality, privacy, identity and Federation, future proof with ATS and global scale.
Stan Zlotsky: Got it, got it. And then I just wanted to go back to the comments about potential impact two Q4 from lower usage. May, can you, can you unpack that for me a little bit? What do you expect to cause that lower usage especially on, on the subscription side of the business that's it for me. Thank you.
Scott Howe: Yeah And I'll, I'll take that one too Stan. I would just say it's actually our being a little bit conservative. We, this is just something we're not going to forecast because it's usage based. So when we're putting out our guidance, we felt it appropriate to just bring that down a little bit, make sure we weren't at risk of the usage coming in lower than say it did in, Q3. But overall we haven't seen anything in our business per se, which would cause this to be zero, but again, in setting our guidance, we felt that was the way to go.
Stan Zlotsky: Got it. Thank you.
Operator: And our next question is going to come from the line of Kirk Materne from Evercore ISI.
Kirk Materne: Yeah, thanks very much. And congrats on the quarter. Warren it seemed that the, the LiveRamp’s Safe Haven business should be a, a positive, or have a positive impact on, on sort of [indiscernible] over time. I mean, is that fair to assume? It, it seems like that's one of the like classic land and expand stories and I was also wondering if you could just talk about you, some of these new lands. I assume they're landing pretty small, but opportunities with Walmart, JD.com, can grow pretty well and should help that metric over time?
Warren Jenson: The answer is yes. So if you look at our, our net retention, for example, for the quarter upsell we, we had really, it, it was a great story terms of net retention in every respect this quarter upsell was up strong and that upsell was driven by Safe Haven to usage was up and we had lower contraction, so all of those many of those things are really facilitated by the strength of, of Safe Haven.  So there's no reason as we look into the future that we shouldn't continue to see benefit. I would also say exactly to your point is we're really at the beginning of this whole world of, of retail, I'm going to call it retail based media, but it extends well beyond retail. So we're only really starting with the use cases. Most of the use cases today are honestly focused around the retail media portion of it, but really haven't gotten into collaboration in a big way. So we like you see a world, the use cases starting to open up in our slide deck. We highlighted a few of those things in retail. So if we were sitting here talking even a year ago, maybe 18 months ago, half of those use cases wouldn't have been on the page, but today it seems like every day we wake up, there's a new use case and a new application.
Kirk Materne: And one just more follow up I think you mentioned in your prepared remarks, sort of moving from application to enterprise. Can you talk a little bit about how that's maybe changing who you're talking to from a buyer perspective? Are you starting to land in the office the C-suite more often at this point in time with some of these low, larger opportunities clearly had shown up in the number of million dollar deals, but I was just wondering if you start to see that transition happen in terms of who you're talking to from a buyer perspective?
Scott Howe: Sure. Kirk, it's Scott. I would tell you that is absolutely the case. Three specific levels.  Number one, I would say yes, we are seeing a higher point of an entry, typically a member of the C-suite oftentimes the CMO, sometimes the COO and increasingly the CEO. Oftentimes the CMO, sometimes the COO and increasingly the CEO is aware of who LiveRamp is. Second thing we're seeing is a higher ACV, when we go in with the enterprise sale, it tends to be a much higher price point and also higher opportunity for upsell, so higher dollar based net retention. And we didn't talk a whole lot about our new logo wins over the quarter, but I think they bear that out. So you, I mentioned 20 net new ads in the quarter. Yes, there's a lot of retail in there, but there's also one of the largest logistics companies in the world. One of the largest financial services companies in the world, one of the largest QSRs in the United States, one of the largest hotel chains in the world and another one of the largest banks in the world. So if you looked at the client roster, the new ads, you would recognize them. They're some of the most sophisticated companies on the planet and we're on their radar screen now.
Kirk Materne: Great. Thanks guys.
Operator: [Operator Instructions] Our next question is going to come from the line of Jason Kreyer with Craig-Hallum
Jason Kreyer: Great, thanks guys. So you've got roughly 10% of subscription customers are now $1 million customers, and you've really been increasing the penetration rate there. My expectation is Safe. Haven's probably a big part of that, but wondering if you could just talk about what component of that is usage based or what other specific services are layering into that figure?
Scott Howe: There's always we could have some ins and outs depending upon usage, so that can affect the number of $1 million plus customers. But I would say you really highlighted, I think the answer to the question is that as Safe Haven becomes a bigger part of the installed base, our ACVs are going up and it's also opening up new use cases. So the short answer, that's the answer to the question Safe Haven is enabling -- enabling the trend that you're speaking of usage at the margin.
Jason Kreyer: And then the success that you're seeing in Safe Haven, maybe talk about your ability to land new customers to live ramp with Safe Haven versus how much you're you're, you're, cross-selling into that existing base with success there?
Scott Howe: Well it's Scott, you may want to jump in here. I would tell you it's both, so we're landing new logos, but we're also upselling a lot of existing customers too. So it it's really both. And I think this kind of comes back to the question of who are we talking to? Well if you -- if we were to go to the top 100 or 500 Companies in the world, we would probably find two words and virtually every one of those of their strategic three year strategic plans, and those would be the words, digital transformation. And when you think of the Safe Haven platform, again, neutrality, privacy, identity collaboration at scale, it's the platform that is helping companies really with their digital transformation. So not only are we at the center for the epicenter of the massive trends in retail media we're really at the epicenter of a much, even much larger trend and that's called digital transformation. So we see ourselves as being a core enabler of that transformation for our customers. 
Jason Kreyer: Thanks, Warren. Appreciate it. Thank you.
Operator: And our next question is going to come from the line of Dan Salmon with BMO Capital Markets.
Dan Salmon: Good afternoon, everyone. Hey, I have, Hey Warren. So I've got a few questions about the partnership with Google cloud that I think you expanded on this time last month and maybe first just firstly, how impactful can that be to revenue over the, the next fiscal year? Second how relevant is the integration with Google marketing platform to that partnership? And, and lastly, is that partnership something that can be an advantage for live amp as Chrome and Android of all their cookie and data policies. I'd love to hear about that as well?
Warren Jenson: Sure. Dan, I would tell you at the core of our strategy is ubiquity. What we found is that our sophist, our most sophisticated clients, they have a lot of different needs. They want to activate in a variety of different use cases, open web, DSPs, Ramp, Facebook, Microsoft, they want to extend across multiple geographies. And increasingly when we go in and talk to them, they are asking that we, some cases integrate with any number of CDPs and increasingly any number of different marketing cloud providers. And so it's been a real advantage or historical kind of neutrality being agnostic and being flexible because it's now serving us increasingly well. Yeah, I think it's a tremendous advantage that we have great integrations on the O&O side of Google, as well as the cloud side of Google. But the advantage is, is to our partners because it gives them two sides of what, what they're looking for and, and gives them flexibility. I would say we're in the early stages of kind of building out these, these partner channels and GCP, because they've been one of our historical technology partners was the easiest one to, to get up and running. But next up will be AWS. And over time we want to be able to say yes, regardless of who a client wants to use for storage and compute. That is going to be a big thing for us, over really, not just the next 12 months, but really the next 24 months in our product and engineering efforts.
Dan Salmon: Thank you.
Operator: Thank you. And with that, we will conclude the Q&A portion of today's call. I would like to turn the call over to Mr. Warren Jenson for his closing comments.
Warren Jenson: Well, great. Well thank you operator and thanks everybody as usual for, for joining us today. I'd like to conclude with maybe just three quick thoughts and then and then a final reminder about ramp up. First of all highlight number one is this was a solid performance again in the quarter, but you more importantly, this is one quarter in a trend revenue web 17% gross margin, 77 percent or seventh consecutive quarter of profitability. So again, as I said in the prepared remarks there's been a lot of change in this industry, but through all that change, there is one constant and, and that is we have delivered. Second meta-point is our enterprise platform Safe Haven is rolling, 20% of ARR greater than 120% net retention. Now, 60%, U.S big box retail share, global presence, Walmart, JD.com. And we are in the sweet spot and right at the epicenter of this massive trend in retail media. And then third, our global opportunity is really now starting to take shape. it's pretty interesting. We, we sat down ahead of this call and a year ago, we would've said through live a, you can reach consumers in 12 countries. Today you canned through LiveRamp, reach consumers in over 40 countries -- 40 countries. ATS is enabling that kind of opportunity. And we're pleased to have great participants and tens of thousands of publishers now enabled, but today, most notably calling out Microsoft and also out calling out Amazon. And then finally, I guess a reminder for everybody. We're thrilled to be hosting our Annual Event Ramp Up on February 28th and March 1st at the Fairmont. We intend for this to be an in person event, although we will be streaming. So we'll pretty much have a hybrid platform but we would love to have all of you join us. We're going to have a great lineup of thought leadership, fireside chats, probably talk about a lot of the stuff we've talked about today on the call from the best and the brightest in the industry and, and beyond. So please reach out to us. We would love to have you join us. It's going to be a great event and with that operator thanks to all of you for joining us today and, and spending a few minutes.
Operator: Thank you. Once again, I'd like to thank you for participating in today's live conference. You may now disconnect.